Operator: Ladies and gentlemen, thank you for standing by, and welcome to the fourth quarter 2014 earnings teleconference. [Operator Instructions] And as a reminder, today's conference call is being recorded. I would now like to turn the conference over to Mr. Mark Finkelstein. Please go ahead.
Mark Finkelstein: Thank you, Cynthia. Good morning, and thank you for joining our call. Representing Prudential on today's call are John Strangfeld, CEO; Mark Grier, Vice Chairman; Charlie Lowrey, Head of International Businesses; Steve Pelletier, Head of Domestic Businesses; Rob Falzon, Chief Financial Officer; and Rob Axel, Controller and Principal Accounting Officer. We will start with prepared comments by John, Mark and Rob, and then we will answer your questions. Today's presentation may include forward-looking statements. It is possible that actual results may differ materially from the predictions we make today. In addition, this presentation may include references to non-GAAP measures. For a reconciliation of such measures to the comparable GAAP measures and a discussion of factors that could cause actual results to differ materially from those in the forward-looking statements, please see the section titled Forward-looking Statements and Non-GAAP Measure of our earnings press release, which can be found on our website at www.investor.prudential.com. John, I'll hand it over to you.
John Robert Strangfeld: Thank you, Mark. Good morning, everyone, and thank you for joining us. Our fourth quarter results were a little lighter than the other quarters of the year partly due to seasonality. But overall, we feel very good about 2014. More specifically, operating -- adjusted operating income, excluding market-driven and discrete items, was $9.84 per share for the full year 2014, which is an increase of 10% over 2013 and exceeded the expectation we established in guidance. Likewise, our ROE for the year exceeded our 13% to 14% long-term target range. Results benefited from tailwinds such as strong non-coupon investment income, favorable equity markets and better-than-expected underwriting experience. Nonetheless, we are pleased with the positioning of our businesses and the prospects going forward, and would like to highlight just a few. Our annuity business benefited from favorable equity markets that contributed to 15% adjusted operating income growth, excluding market-driven and discrete items in 2014. Additionally, we are pleased that our newer products like Prudential Defined Income, which isn't equity-centric, are gaining traction and collectively represent over 20% of total annuity sales in the second half of 2014. Retirement had a record earnings year, with strong momentum in pension risk transfer. We originated over $37 billion in total buyout and longevity account values in 2014, including the landmark $27 billion British Telecom longevity transaction. Asset Management reported $5.4 billion in positive unaffiliated third-party net flows in 2014. And assets under management grew 8% over year end 2013. While net flows in the second half of the year were less robust, solid underlying investment performance and business momentum keeps us optimistic that this will continue to be a good story going forward. Individual Life sales improved sequentially in the fourth quarter following selective product repricing in August, and we like our competitive positioning and business mix. We've also benefited from favorable mortality in 9 out of the last 10 quarters. The Group Insurance business continues to benefit from repricing actions, better underwriting discipline and improved claim handling processes. And while we're not ready to declare victory yet, our underwriting trends are certainly moving in the right direction. Our International businesses continue to perform well. Life Planner net premiums policy charges and fees grew a little over 6% on a constant-currency basis in 2014, and we continue to grow our Life Planner count while maintaining high standards. Gibraltar Life Consultant productivity has returned to levels last seen prior to the Star/Edison acquisition. We are also now showing signs of stabilization in the Life Consultant count after raising productivity standards. Additionally, we have shown progress in growing our independent agency channel and improving our mix of businesses in the bank channel. Capital management was also a key theme in 2014. We paid $1 billion in common stock dividends and repurchased $1 billion of our shares. We also look forward to the closing of our transaction with ILC to acquire an ownership stake in AFP Habitat, a leading Chilean retirement services provider, following our signing of the memorandum of understanding in late 2014. In addition, our restructuring of the Closed Block business to repurchase the Class B shares and redeem the IHC debt simplifies our operating structure and added financial flexibility. And while the size of our below-the-line charges during the year was disappointing, we maintained a strong capital level and good balance sheet flexibility. Rob Falzon will discuss our capital strength in more detail in a few minutes. As we look forward, we cannot assume the same tailwinds that we benefited from in 2014 will recur, and we're mindful of the need to navigate more challenging headwinds like the weaker yen, and if early 2015 is any indication, potentially lower-than-expected interest rates, as examples. Nonetheless, our diversified portfolio of high-quality businesses, our strategic positioning and the quality of our talent keeps us optimistic that we will maintain a top-tier return on equity and create strong value for our shareholders. With that, I'll hand it over to Mark.
Mark B. Grier: Thank you, John. Good morning, good afternoon, good evening. Thank you all for joining our call today. I'll take you through our results, and then I'll turn it over to Rob Falzon, who will cover our capital and liquidity picture. Before I discuss our results, though, I would like to provide some context around the comments that Rob will make about capital. First, I want to make the point that total debt in the company has been coming down, as we have intended. However, lower interest rates have resulted in an increase in the amount of debt that we characterize as capital. This is a familiar concept to those of you who have followed us closely over time. Second, our stated capital capacity of $2 billion reflects the impact on capital of repaying about $2 billion in capital debt, which we haven't done. In the past, we would not have earmarked a portion of capital to repay debt. And compared to the way in which we would have portrayed capital capacity in the past, our current number would be about $4 billion. We believe that this is a responsible way to describe capital capacity, understanding that any capital statements necessarily are influenced by underlying assumptions. Third, the gain on our yen capital hedges of $2.4 billion is not reflected in our capital numbers and represents a substantial offset to other market-driven effects. We also generate a lot of capital in our businesses, 60% of operating earnings over time. And we are very comfortable with our financial strength, capital position and our capital plans. Turning now to operating results. I'll start with an overview of our financial results for the quarter, shown on Slide 2. On a reported basis, common stock earnings per share amounted to $2.12 for the fourth quarter based on after-tax adjusted operating income of the Financial Services businesses. This compares to EPS of $2.20 a year ago. After adjusting for market-driven and discrete items in both the current quarter and the year-ago quarter, EPS was up 5%, amounting to $2.33 compared to $2.22. Looking across our businesses, here are some key drivers of this comparison. We benefited from higher fees reflecting growth in account values in our Annuities business, greater assets under management in our asset management business and the contribution of recent longevity reinsurance transactions in Retirement. And our international insurance businesses benefited from continued business growth and more favorable policy benefits experience, including mortality and currency-driven surrenders of fixed annuities. These benefits were partly offset by a lower contribution in Asset Management from incentive, transaction and strategic investing activities, in comparison to strong year-ago quarter results, driven largely by changing valuations and the timing of performance-based fees, higher expenses, including technology costs in several of our businesses, and less favorable foreign currency exchange rates in international insurance. On a GAAP basis, we reported a net loss of $1.2 billion for the current quarter. This reflects the impact of a $2.4 billion pretax loss or about $1.6 billion on an after-tax basis from foreign currency exchange rate remeasurement driven by the weakening of the Japanese yen. This remeasurement impact was largely offset by corresponding adjustments to asset values that are included in accumulated other comprehensive income, or AOCI, which is outside of net income or loss. As we mentioned in our earnings guidance call in December, we've implemented a new reporting structure in Japan that will largely mitigate the impact of these currency exchange rate changes on net income or loss, beginning with the first quarter 2015 reporting. Also commencing this year, we are moving up our annual actuarial assumption review to the second quarter. Slide 3 shows our full year results. Earnings per share for the year, based on after-tax adjusted operating income, amounted to $9.84 after adjusting for market-driven and discrete items. This represents an increase of 10% from 2013, driven by solid underlying performance across our businesses, with tailwinds from equity markets, non-coupon investment returns and underwriting experience. These earnings produced an ROE of 15.8% for the year, after adjusting for foreign currency remeasurement, which benefited our reported ROE by reducing the denominator. Book value per share, excluding AOCI, and after adjusting the numbers to remove the impact of foreign currency remeasurement, amounted to $64.75 at year end, up $4.76 from a year ago after the payment of 4 quarterly dividends totaling $2.17 per share. Turning to Slide 4. Slide 4 shows a rundown of market-driven and discrete items included in our results for the quarter. In the Annuities business, the decline in market interest rates and less favorable performance of separate account funds relative to our expectations caused us to strengthen reserves for guaranteed minimum death and income benefits and adjust DAC, resulting in a net charge of $0.10 per share. Reserve refinements in Retirement, Individual Life and International Insurance resulted in a net charge of $0.10 per share. The most significant items in the current quarter were reserve increases in International Insurance, mainly driven by a calculation update relating to higher premium-rated underwriting classes, and a reserve release in Retirement based on updated census data on annuitants in a legacy group annuity contract. In addition, in Individual Life, we absorbed integration costs of about $0.01 per share related to the Hartford Life acquisition. In total, the items I just mentioned had a net unfavorable impact of $0.21 per share on fourth quarter results. During the year-ago quarter, market-driven and discrete items produced a net charge of $0.02 per share. Moving to Slide 5. On a GAAP basis, our net loss of $1.2 billion in the current quarter includes amounts characterized as net realized investment losses of $2.7 billion on a pretax basis, comprised of the items you see on this slide. Foreign currency remeasurement resulted in a pretax loss of $2.4 billion for the current quarter, as I mentioned earlier. Product-related embedded derivatives and hedging activity had a negative impact of $799 million, largely driven by the decline in interest rates during the quarter. This was partly offset by $479 million of positive mark-to-market on derivatives mainly related to the management of asset and liability durations, also largely driven by interest rates. Impairments and credit losses on investments were $16 million for the quarter, and general portfolio activities resulted in net pretax gains of $66 million. Moving to our business results, starting on Slide 6. I'll discuss the comparative results excluding the market-driven and discrete items that I have mentioned. Slide 6 shows our U.S. Retirement Solutions and Investment Management businesses. Slide 7 highlights Individual Annuities. Annuities results were $390 million for the quarter, up $6 million from a year ago. Slide 8 gives a view of growth in account values, fees and earnings. Most of our operating earnings in the Annuities business come from base contract charges linked to daily account values. Policy charges and fee income increased 5% from a year ago, essentially keeping pace with the increase in average account values. However, lower spreads on general account balances and slightly higher expenses in the current quarter partly offset the benefit of growth in fees. As a result, return on assets, or ROA, slipped a few basis points from the year-ago quarter. Slide 9 covers our Annuities sales. Our gross Annuities sales for the quarter were $2.4 billion, essentially unchanged from a year ago. Our Annuities sales have been fairly consistent over the past year, both on a gross and net basis. We've taken steps to diversify the risk exposures associated with our product guarantees to maintain appropriate pricing and return expectations under changing market conditions and to more broadly meet the needs of the retirement market. Taking a look at our annual gross sales, you can see how product diversification has affected our mix. A year ago, 84% of our overall sales represented our highest daily, or HDI, guaranteed lifetime income withdrawal product. The remainder of our sales consisted mainly of variable annuities where the customer did not elect the living benefit rider. We updated our HDI product in February 2014. A key feature of the updated product allows us to change key pricing elements as often as monthly for new business. Our most recent pricing reset was a few weeks ago, with a lower payout rate for certain key age bands. The 70% contribution to 2014 sales from HDI reflects our product diversification. Our Prudential Defined Income, or PDI, product contributed about 20% of our 2014 sales compared to less than 10% of sales a year earlier. PDI directs a client's entire investment to a separate account fixed income portfolio that we manage. The product provides a guaranteed lifetime income based on the client's age at the time of purchase and the premium paid with a roll-up provision. Similarly to our current HDI product, the design of PDI allows us to adjust key pricing features as often as monthly for new business. The remainder of our 2014 sales represents annuities without living benefit guarantee. This includes about $130 million of sales of our recently introduced Prudential Premier Investment Variable Annuity, which does not offer living benefit guarantees and unbundles guaranteed minimum death benefits as an optional add-on. We've begun to gain shelf space for this product, and we believe it offers an appealing value proposition to those clients mainly focused on tax-deferred asset growth potential. Slide 10 highlights the Retirement business. Earnings for the Retirement business amounted to $294 million for the current quarter, essentially unchanged from a year ago. Current quarter results benefited from higher fees, reflecting the longevity reinsurance transactions that we closed in the second half of the year. The benefit was largely offset by a lower contribution from net investment results. Current quarter results benefited from about $30 million of income, above our average expectations on non-coupon investments, and about $40 million of mortgage loan prepayment income, which is well above our average expectations. These 2 contributors totaled about $70 million, roughly $20 million more than our non-coupon income above average expectations a year ago. However, the net positive variance was more than offset by lower fixed income returns. Turning to Slide 11. Total retirement gross deposits and sales were $14.2 billion for the current quarter compared to $9.9 billion a year ago. Stand-alone institutional gross sales were about $8.5 billion in the current quarter compared to roughly $4 billion a year ago. Current quarter sales included 2 significant funded pension risk transfer transactions totaling $4.6 billion and 2 longevity reinsurance transactions totaling $2.7 billion. Excluding these pension risk transfer cases, institutional stand-alone sales were about $1 billion for the current quarter, compared to roughly $4 billion a year ago, mainly reflecting lower sales of stable value wrap products. Institutional stand-alone net flows for the quarter were $3.7 billion. Outflows of about $2.7 billion of stable value wrap business and roughly $1 billion of ongoing attrition of our jumbo pension risk transfer and longevity reinsurance cases together with runoff of other legacy business partly offset our new sales during the quarter. Full Service gross deposits and sales, shown in the dark blue bars, were $5.6 billion for the quarter, essentially unchanged from a year ago. Net outflows of about $700 million for the quarter reflected a lapse of a lower fee administrative services-only case of $950 million. Total Retirement account values amounted to $364 billion at year end, up $41 billion from a year earlier. Slide 12 highlights the Asset Management business. The Asset Management business reported adjusted operating income of $192 million for the current quarter compared to $209 million a year ago. While most of the segment's results came from asset management fees, the decrease from a year ago was driven by a $32 million lower contribution from incentive, transaction, strategic investing and commercial mortgage activities. This contribution, which amounted to $25 million for the current quarter, is inherently variable since it reflects changing valuations and the timing of transactions. Excluding results from other related revenues, Asset Management earnings were up by $15 million from a year ago, largely as a result of higher asset management fees, driven by growth in assets under management. The segment's assets under management amounted to $934 billion at year end, including $450 billion managed for unaffiliated institutional and retail clients. Third-party assets under management increased $35 billion from a year ago, driven by market appreciation along with about $5 billion of net flows over the past year. Net institutional outflows of $2.5 billion in the current quarter were driven by equities and included some client rebalancing of portfolios to reduce the weighting of some domestic equity product classes. These outflows were essentially offset by net retail inflows of $2.6 billion. Slide 13 shows the results of our U.S. Individual Life and Group Insurance businesses. Slide 14 highlights Individual Life. Individual Life earnings were $135 million for the current quarter compared to $165 million a year ago. The decrease reflected higher net charges in the current quarter for amortization of deferred policy acquisition costs and related items, driven by the ongoing impact of our annual actuarial review in the third quarter and by financial market performance in relation to our assumptions, including the interest rate decline in the current quarter. In addition, current quarter expenses were above the level of a year ago, reflecting nonlinear items such as distribution costs and consulting. Claims experience was favorable both in the current quarter and the year-ago quarter. Putting it all together, we estimate that in comparison to our average expectations, claims experience, expenses and amortization had a net favorable impact of about $5 million on current quarter results. Slide 15 shows Individual Life sales based on annualized new business premiums, which amounted to $130 million for the current quarter. This compares to sales of $166 million a year ago. The $36 million decrease was driven by lower sales of guaranteed universal life insurance products, shown in the dark blue bars. This decline reflects actions we've taken to limit concentration in these products and maintain appropriate returns, including a series of price increases, which contributed to the significant drop in sales that you see in the early part of the year. In August, we implemented pricing changes on several of our guaranteed universal life and term insurance products, enhancing our competitive position where we see opportunities to offer attractive value propositions with appropriate expected returns. These pricing changes contributed to a sequential quarter increase in sales of these products, which contributed a total of $92 million to current quarter sales compared to $74 million in the third quarter of this year. Slide 16 highlights the Group Insurance business. Group Insurance earnings amounted to $44 million in the current quarter compared to $58 million a year ago. While we would consider our underwriting experience to be favorable in the current period, we had particularly favorable group life experience last year and high recurring period expenses that drove the negative year-over-year variance. Slide 17 presents our earnings trend for Group Insurance and benefit ratios for Group Life and Group Disability. In Group Disability, favorable current quarter experience, driven by claims resolution and fewer new claims, produced a 79.1% benefits ratio, the lowest of the past 5 years. While we've taken steps to improve results, we continue to expect that claims experience will vary from one quarter to another. The Group Life benefits ratio, while less favorable than a year ago, was at the low end of our expected range. Moving to International Insurance on Slide 18. This slide shows the results of our International Insurance businesses. Slide 19 highlights our Life Planner operations. Our Life Planner business reported earnings of $382 million for the quarter, essentially unchanged from a year ago. Mortality was more favorable than a year ago, and we estimate that the contribution to current quarter results was about $25 million greater than our average expectations. Results also benefited from continued business growth with insurance revenues, including premiums, policy charges and fees, up 8% from a year ago on a constant-dollar basis. The benefits to results from more favorable mortality and continued business growth were essentially offset by higher expenses driven by a range of items, including nondeferrable distribution costs reflecting higher sales, technology costs and sundry items such as annual true-ups of employee benefit plan liabilities. In addition, foreign currency exchange rates, which reflect our hedging of yen income at JPY 82 in 2014 versus JPY 80 a year earlier, had a negative impact of $3 million on earnings in comparison to a year ago. Slide 20 highlights Gibraltar Life and other operations. Gibraltar Life reported earnings of $385 million for the current quarter compared to $378 million a year ago. The current quarter benefited from a greater contribution from net investment results than a year ago, which was largely driven by portfolio growth. Results from non-coupon investments were roughly in line with the year-ago quarter. Policy benefits experience, including mortality and gains on surrenders, was also more favorable than a year ago. We estimate that the contribution of this experience to current quarter results was about $20 million greater than our average expectation. The greater contributions to earnings from net investment results and policy benefits experience were partly offset by higher expenses in the current quarter. Like the Life Planner operations, the higher expense level was also driven by a variety of items, including technology costs. In addition, foreign currency exchange rates had a negative impact of $9 million in the comparison of results to a year ago. Turning to Slide 21. Overall, International Insurance sales on a constant-dollar basis were $724 million for the current quarter, up $20 million from a year ago. Slide 21 is a product view of our sales. As you can see in the dark blue bars, Death Protection products remain our major emphasis and contributed about 60% of current quarter sales, with an increase of $47 million from the year-ago quarter driven by products such as term insurance. This was partly offset by lower sales of Retirement products, which comprised less than 20% of current quarter sales. Slide 22 breaks out Life Planner sales. Life Planner sales were $311 million in the current quarter, up $13 million or 4% from a year ago. Sales by our Life Planners in Japan were $189 million in the current quarter compared to $196 million a year ago. As shown in the gold bars, sales of Retirement products decreased by $36 million to $56 million for the current quarter, reflecting a change in commission rates. This decrease was largely offset by an increase of Death Protection product sales, shown in the dark blue bars, including term insurance, which also reflected a change in commission rates. Sales outside of Japan, in the brown bars, were up by $20 million from a year ago, mainly driven by increases in Korea and Brazil. Slide 23 shows Gibraltar Life sales. Sales from Gibraltar Life were $413 million in the current quarter compared to $406 million a year ago. Sales by Life Consultants, in the dark blue bars, amounted to $179 million for the current quarter, essentially unchanged from a year ago. Our Life Consultant count stood at about 8,700 at year end, down about 600 or 7% from a year earlier, reflecting our active management of the sales force that came to us with the acquisitions of Star and Edison, including minimum production requirements. The decline in count was offset in the quarterly sales comparison by greater productivity, measured by policies sold per agent per month, which has returned to the level that we achieved prior to the acquisitions. The Life Consultant count has begun to stabilize, as you can see in the sequential quarter trend. Sales through the bank channel, shown in the gold bars, amounted to $166 million for the current quarter, down $7 million from a year ago. This decrease reflects $22 million of residual sales in the year-ago quarter of a yen-based, single-premium whole life product that we discontinued. Sales of other products in the bank channel were up $15 million or 10%, with the growth mainly driven by sales of fixed annuities. About 2/3 of our current quarter sales in the bank channel are the Death Protection products we emphasize, mainly recurring premium whole life. Sales through independent agents, shown in the light blue bars, amounted to $68 million in the current quarter, up $11 million from a year ago. While Death Protection and Retirement products comprise the majority of sales through this channel, the year-over-year increase was driven mainly by greater sales of fixed annuities. Slide 24 shows the results of Corporate and Other operations. Corporate and Other operations reported a loss of $326 million for the current quarter compared to a $397 million loss a year ago. The reduction in the loss reflects lower expenses in the current quarter, driven by a variety of nonlinear items such as employee compensation and benefit costs and charitable contributions. Now I'll turn it over to Rob.
Robert Michael Falzon: Thanks, Mark. I'm going to provide an update on some key items under the heading of Financial Strength and Flexibility, starting on Slide 25. We continue to manage our insurance companies to levels of capital that we believe are consistent with AA standards. For Prudential Insurance, we manage to a 400% RBC ratio. While statutory results for 2014 are not yet final, we estimate that RBC for Prudential Insurance as of year end 2014 will be above 400%, consistent with the estimate that we provided in December. This year-end RBC position reflects a $2 billion dividend from Prudential Insurance to the parent company in December, which we applied toward the redemption of our IHC debt and the Class B Stock. In Japan, Prudential of Japan and Gibraltar Life reported strong solvency margins of 858% and 931%, as of their most recent reporting date, September 30, 2014. These are comfortably above our 600% to 700% targets. And we expect that our Japanese companies will continue to report strong solvency margins relative to their targets as of their end of current fiscal years, which ends in March 31, 2015. Looking at our overall capital position on Slide 26. We calculate our on-balance sheet capital capacity by comparing the statutory capital position of Prudential Insurance to our 400% RBC ratio target, and then add capital capacity held at the parent company and other subsidiaries. A year ago, our on-balance sheet capital capacity was roughly $3.5 billion, of which $1.5 billion was considered readily deployable. During the year, we declared 4 common stock dividends amounting to about $1 billion in total, including a dividend of $0.58 per share in the fourth quarter that represented a 9% increase and repurchased $1 billion of common stock, totaling about $2 billion of returns of capital. These capital uses were offset by capital generated within our businesses, primarily from operating earnings. In addition, our restructuring of the Closed Block business had the effect of reducing our total capital capacity, while increasing the amount we consider readily deployable by releasing trapped capital. As the available on-balance sheet capital capacity and readily deployable capital balances have now converged, providing 2 distinct capital figures has become less meaningful. Therefore, we will be providing a single capital capacity figure going forward. At year end 2014, we estimate our available on balance sheet capital capacity at $2 billion, with the vast majority of that amount considered readily deployable based on how we have defined that figure in the past. As described by Mark, our stated capital capacity is net of capital we anticipate using to pay down debt, calibrated to arrive at our long-term targeted financial leverage ratio of 25%. Absent such an assumption, our total capital capacity would be approximately $4 billion. Our on-balance sheet capital capacity is lower than the estimate for the year end 2014 that we provided in our 2015 guidance call in December. The variance is mainly due to the decline in interest rates that occurred in the fourth quarter, which had 2 primary impacts. First, we manage a portion of our variable annuity interest rate risk through a broader capital protection framework, which includes an underhedge position. As interest rates declined, a negative impact on the underhedge triggered a change in the required capital, causing a funding need that we satisfied with holding company resources. Secondly, the decline in interest rates through the quarter caused a higher statutory provision based on year-end asset adequacy testing. We evaluate our on-balance sheet capital amounts to set points in time. And therefore, it is not explicitly reduced by further capital commitments like our Chilean acquisition or increased for expected capital generation. However, based on what we know today, we expect to be able to fund our known or anticipated capital commitments with the capital we would expect to generate in our ongoing businesses. This includes generating deployable capital equal to about 60% of our operating earnings over time as well as other positive capital items, including settlements to PFI's -- settlements to PFI in 2015 on the $2.4 billion fair value of our Japan capital hedge. Turning to the cash position at the parent company. Cash and short-term investments, net of outstanding commercial paper, amounted to about $4.2 billion as of year end. The cash in excess of our targeted $1.3 billion liquidity cushion is available to repay maturing operating debt, to fund operating needs and to deploy, over time, for strategic and capital management purposes. Now I'll turn it back over to John.
John Robert Strangfeld: Thank you, Rob. Thank you, Mark. I'd like to now open it up to questions.
Operator: [Operator Instructions] And our first question will come from the line of Erik Bass with Citi.
Erik James Bass - Citigroup Inc, Research Division: First just wanted to touch on the capital topics a little bit more. On -- I guess, if interest rates, given the decline we've seen post year end, should we expect further pressure from kind of the interest rate underhedge? And also, could you elaborate a little bit more on the comments you made about the year-end asset adequacy test strengthening and where that was?
Robert Michael Falzon: Okay. So let me address first the sensitivity to further future declines. To state the obvious, further declines in interest rates are not helpful, but I would be careful not to extrapolate the fourth quarter sensitivities. There are a number of moving pieces beyond just rates that affect those items. And capital sensitivity is not by any means linear. Our assets and liabilities have convexity, and they are -- and the capital is significantly influenced by management actions that we take. Hence, it's why we actually don't provide sensitivities on capital in the same way that we did for you on AOI. We are continually evaluating our overall sensitivity to markets generally and to interest rates' movements both up and down specifically to assess our exposure. We modulate shocks to the current environment. We look at the accounting, capital and economic exposures to both moderate and severe shocks, up and down. And we assess the accuracy of our capital protection framework, including available capital capacity, on and off balance sheet, and our hedges including the annuities interest rate underhedge that I discussed. I'd also note that with respect to the annuities interest rate underhedge as well as AAT, in a rising interest rate environment, capital is released from each of these and restored to our capital capacity. With respect to the other part of your question, Erik, in terms of -- are you seeking further elaboration on the change in year end?
Erik James Bass - Citigroup Inc, Research Division: Yes. Where you saw the kind of statutory -- asset adequacy test strengthening?
Robert Michael Falzon: Yes, so we strengthened the reserves for AT by about $1 billion year-over-year.
Erik James Bass - Citigroup Inc, Research Division: Okay. Was that in specific products? Or...
Robert Michael Falzon: Well we haven't filed our statutory filings yet. And so we're not really able to provide any further insight or detail on that. So it did hit across a number of businesses and products, not specifically generated as a result of any one particular product.
Erik James Bass - Citigroup Inc, Research Division: Okay. And if I could just ask one follow-up. Under what scenarios would you begin to monetize and redeploy the $2.4 billion of the yen hedge gains? And as these settle, is there any reason they wouldn't be available capital capacity?
Robert Michael Falzon: No. So if you look at the $2.4 billion that we have in fair value as of year end, the ordinary core settlements on that are about 30% of it during the course of 2015. When we articulate our capital capacity, we do not include in that capacity that fair value amount. What we do include are the settlements as they occur and work their way in. So there is nothing -- absent further changes in the level of the FX rate, which would then affect that fair value amount, there's nothing that would impede the natural order of settlements in the way that I quantified them coming into our capital capacity during the course of 2015. And then, obviously, to the extent that we accelerated any of the settlements, that would provide additional capital capacity out of that $2.4 billion.
Operator: Our next question will come from the line of Suneet Kamath with UBS.
Suneet L. Kamath - UBS Investment Bank, Research Division: I apologize, maybe I'm sleep deprived, but I'm confused in terms of this whole capital capacity thing. Because I thought in Mark's prepared comments, he had said that the delta between what you told us in December and what you're telling us now was what I would characterize as a definitional item, which is you're kind of earmarking some money for debt repayment, which you hadn't done back then. But then in Rob's comments, it seems like there was actually an increase in capital requirements related -- that caused the change. So again, I apologize, but I just was wondering if you can just walk us through very simply, like you told us $3.5 billion in December, and now you're telling us $2 billion. Like, can you just walk us through how we got from one to the other?
Robert Michael Falzon: Yes. So let me sort of keep it very high level and try to walk you through that, Suneet. So if you take the range we gave you before, because remember we've migrated to a single definition, so we've provided a range of $3.5 billion. And then of that, $3 billion of readily deployable, that number, the 2 of those converged into what we've articulated as the $2 billion. So the delta between where we were and where we are today, as Mark described, is that we're taking some of our capacity in order to reduce the leverage. What happened during the course of the fourth quarter is that our capital leverage ratio went up by a greater amount than we would have otherwise anticipated, as a result primarily of the 2 things that I highlighted. So the interest rate underhedge and the AAT provision being greater than what we had originally expected when we set our guidance caused that -- the leverage ratio to elevate. And so if we were to reduce the leverage back down to 25%, and we think that's a prudent thing to do in light of recent levels of interest rates and the increased volatility that we have in interest rates, that requires taking that capital capacity that otherwise would've been $4 billion down to $2 billion. So there's a component of it that's a result of an elevated level of capital leverage caused primarily by those 2 events. And then, secondly, as you characterized it, a change in methodology to deduct from our capital capacity any leverage that we have in excess of that targeted 25%. Is that helpful?
Suneet L. Kamath - UBS Investment Bank, Research Division: So when Mark -- yes, I think we're getting there, but -- so when Mark said $4 billion is sort of the pro forma number had you not changed the definition, does that reflect the underhedged and the AAT?
Robert Michael Falzon: Yes, so -- I'm sorry, Mark?
Mark B. Grier: Yes, think about the $4 billion as if we didn't change leverage.
Robert Michael Falzon: So the leverage at end of the year, absent any changes, would have been 29.6% or something in that order of magnitude that we'll wind up printing. And that would then reflect both the underhedge and AAT. And bringing that number down to 25% is what reduces us from having a notional capital capacity of $4 billion or a real capital capacity of $4 billion down to a notional amount net of the earmark for debt reduction of $2 billion.
Suneet L. Kamath - UBS Investment Bank, Research Division: Okay. I'll noodle that. My second question was just on these pension risk transfer deals that you've done. I know when you price these things, I'm assuming you're fully matched on the assets and the liabilities. And so the direction of interest rates post closing the deal really shouldn't change the economic terms of the deal. I just want to confirm that that's the case because, obviously, you've done a lot of these deals, and we've continued to see interest rates decline. So if I'm right, is it fair to assume that the decline in interest rates that we've seen is not going to impact the profitability of the business that you've written?
Stephen P. Pelletier: Suneet, this is Steve. You are absolutely correct. The pension risk transfer deals, remember that in these transactions we're dealing in all cases with retirees, people have already made their elections. So the cash flows are already firmly established. Therefore, at closing, we're able to match assets and liabilities in a very robust fashion. I'd go one step further, going back in the timeline a little bit to the way you asked your questions, and that is to emphasize that between pricing and signing and closing, we have contractual provisions that protect us from changes in market conditions, including changes in interest rates between pricing and closing.
Suneet L. Kamath - UBS Investment Bank, Research Division: Right. But there's not even a dynamic of you have surplus backing this business and that surplus is presumably invested in something that's earning a yield. But there's not even a dynamic of spread compression on the surplus that's backing these transactions?
Stephen P. Pelletier: No, there really isn't. As I say, we're able to match assets and liabilities very robustly given the nature of the liability.
Operator: Our next question comes from the line of Ryan Krueger with KBW.
Ryan Krueger - Keefe, Bruyette, & Woods, Inc., Research Division: I had another follow-up on the capital. I guess, just -- I guess, maybe just to confirm. So is the way to think about it that you had 2 capital impacts from Variable Annuity relating to interest rates and cash flow testing and that you funded those amounts with additional capital debt? Is that the right way to think about it?
Robert Michael Falzon: Yes. But just to be clear, Ryan, the AAT amounts affect the entire enterprise. That's not specific to Annuities, by any means. So yes, you had from Annuities the interest rate underhedge, and then you had the enterprise-wide AAT testing, some component of which we'd obviously anticipated. It's just with the decline in the fourth quarter, it was greater than what we anticipated. Those -- the "funding" of those 2 came from operating debt that we had sitting on our balance sheet. We used the proceeds associated with that operating debt to fund that, and that we reclassified operating debt to capital debt. Important to note there, and I think Mark highlighted upfront, our total leverage has gone down. We've actually reduced the amount of debt that we have outstanding. This was an issue of how we label that debt.
Ryan Krueger - Keefe, Bruyette, & Woods, Inc., Research Division: Got it, got it. You already had the debt. You're now using it for a different purpose, and you reclassified it.
Robert Michael Falzon: Correct.
Ryan Krueger - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, second question. I know you guys don't tend to like to comment on your EPS guidance after you give it. But you haven't -- we haven't had a quarter in 2015 yet, and your earnings, I think, were generally lower than most of us expected. So I was just hoping if you could confirm that the $9.60 to $10.10 EPS guidance you gave in December is still a valid range.
Robert Michael Falzon: So Ryan, a confirmation would be an update. So I can't actually do that. But let me offer a couple of thoughts that perhaps can help. One, if you -- the nature of your question really is expressing concern about what's the impact of the -- of this capital capacity reduction that we've articulated in the fourth quarter, and then looking at the high level of expenses that we have in the fourth quarter. Those are the 2 things, I guess, if you're thinking about how they might impact our -- the guidance that we otherwise gave and with respect to both those, what I would note is on the capital side, our guidance reflected a range of deployment including leverage reduction. So the fact that we're using a portion of our capital to reduce debt is not something that would be any different than we would've factored into a range when we put that together. With regard to expenses, recall the fourth quarter has seasonality both in -- actually both in revenues and expenses. It's international, but it's across the entire enterprise in part due to compensation and benefit true-ups in the fourth quarter. So while I'm not updating guidance, I would say there was nothing structural that changed versus our expectations for the fourth quarter.
Ryan Krueger - Keefe, Bruyette, & Woods, Inc., Research Division: Can you just give us some quantification of the type of seasonality you saw in the fourth quarter to what -- relative to what you'd expect in other quarters?
Robert Michael Falzon: No. I'm actually -- I'm not prepared to give you that off the top of my head, Ryan. I'd have to give that thought. I think if you looked back at our fourth quarter over the last several years, you would see a pronounced seasonality there on an enterprise basis more accentuated in our international business, obviously.
Charles Frederick Lowrey: Ryan, this is Charlie. Let me just sort of give you a quick overview of the sort of expenses in the fourth quarter. Because the fourth quarter does tend to have higher expenses, as Rob said, in our International businesses, and that's a trend we've seen over the years. So I think what we would say is for total expenses, there's sort of 27%, 28% of the -- of annual expenses occur in the fourth quarter, and we see this both in Life Planner and the Gibraltar businesses for really 3 factors. First, fourth quarter always includes some nonlinear expenses. And we had some of those, as we did last year and probably always will in the fourth quarter, and those related, as Rob said, to pension-related costs and whatnot. We then have some external factors that have been there such as consumption tax and other things, and that's sort of a constant. And then there are also some internal factors. And those internal factors can be as mundane as administrative costs such as annual mailings to customers. And those occur in the fourth quarter in Japan. And so you're going to get some seasonality. There are some systems initiatives, and the costs are incurred later in the year, that usually is the case, and some end-of-life systems. So these sorts of costs will be with us going forward and have been anticipated. So in sum, on the international side, expenses were structurally not different than we would've otherwise expected for the fourth quarter, but are seasonally a bit higher.
Operator: Our next question comes from the line of Thomas Gallagher with Crédit Suisse.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Wanted to come back to the capital situation as well. Mark, I just wanted to be clear on what you said about the yen hedge. Did you say that was $2.4 billion?
Mark B. Grier: Yes, $2.4 billion pretax.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: And is that -- how is that factored into your overall view of capital adequacy? Is that included somehow in the $2 billion figure?
Mark B. Grier: It's not reflected in the capital ratios or dollar numbers that we've discussed. And as Rob said in answer to an earlier question, this will flow into available capital as the cash is realized. And about 30% of it comes in this year. And we would have options to accelerate if we chose to. So this is, I guess, sort of shadow strength that's not reflected in the headline numbers, but represents, as I said, a substantial offset to other market-related sensitivities.
Robert Michael Falzon: And maybe to follow up on that, Tom, and following up on a question that was asked earlier, when we think about post year end, things that have happened, the -- and the commitments that we have -- capital commitments we have for the upcoming year both in the form of the expected closing of the Chilean AFORE [ph] business in the middle of the year as well as the further decline in interest rates post year end, we have confidence around the capital capacity that we stated as of year end because we look at those outflows of capital, but we're also looking at the inflows we have of capital during the course of 2015. They come from our free cash flow, but they also come from this monetization of the equity -- the yen equity hedge.
Mark B. Grier: Yes, Tom, we've each expressed confidence in our financial strength and our capital position and our ability to implement our capital plans. And the value of that yen hedge is a source of comfort in that context.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Got you. And then -- and just a related question, I guess. The -- if we -- I just want to really get my arms around how to think about the below-the-line VA losses we've seen. And I get the AAT year-end true-ups. But more importantly, thinking about your 2Q review, and now you're changing the actuarial review from 3Q to 2Q, if we remain in a sustained low rate environment, is it fair to say that there's risk to that $2 billion as we think about rates where they are today, if there is another sizable VA below-the-line charge? Wouldn't it consume more of that $2 billion figure today?
Robert Michael Falzon: Okay, so let me sort of take that in pieces. First, with respect to sustained low interest rates, the impact in capital comes primarily as a result of a decline in interest rates. And so the position that we're articulating as to where we are today reflects the level that we're at today. Should rates prevail at this level, that does not give rise to a further need to absorb the capital capacity we have in the way that we described it occurring in the fourth quarter. Should rates decline further, then we would have some of those consequences. With respect to the VA business and the actuarial assumption updates, I guess what I would describe on that, Tom, is that we have updates to our assumptions, particularly with respect to the Annuities business. We believe we've taken appropriate steps relevant to the experience that we've reserved in Annuities and across our other businesses. And so based on what we know today, we feel comfortable with the reserves that we've put up.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Okay. And then, sorry, if I could squeeze one last one in, does it -- the way I'm thinking about this whole thing, and correct me if I'm wrong, has to do -- because prior to now, I think most of the charges that have been recognized in VA have been funded by -- you had enough resources in PRU global funding within that enterprise or within that entity. And is it -- have we gotten to the point now where you now need to fund all potential VA charges going forward, given what's gone on within that entity? Or if you can help me better understand that.
Robert Michael Falzon: Yes, Tom. So we've always articulated how much needed to be topped up in the VA entity. And just to be clear, that's not PRU global funding. That's a separate entity through which we do -- we enter into our swaps and derivative transactions to the benefit of the entire enterprise. It would be PrucoRe, which is our captive. And then within that entity, yes, we had surplus capacity that in prior quarters absorbed some of the top-up that we need to undertake as a result of some of the below-the-line charges that you've described. In this quarter, we had to take proceeds from operating debt and then advance it to PrucoRe in order to fund the incremental losses. And that would be the case on a go-forward basis. Oh, yes, and actually just -- let me add another point on that, Tom, which I think is -- helps put some of this in perspective because I think it's important for people to understand. Our total reserves now, the hedge target at PrucoRe is approximately $8 billion today. That is the equivalent of the statutory reserves that we hold for that entity. The -- if we were to do this, the calculation of statutory reserves for the living benefit rider at the ceding companies, that number would be less than half the $8 billion. So we have a very conservative level of reserves established for our living benefit rider that results from the way in which we account and hedge for that.
Operator: Our next question will come from the line of Colin Devine with Jefferies.
Colin W. Devine - Jefferies LLC, Research Division: All right. Let's -- if we can come back to this capital issue one more time. First, well, I'm trying to reconcile the debt as it's spread out -- split out on Page 10 with what's shown on the balance sheet, specifically the short-term debt figure that's given of what, $3.8 billion. And yet on the balance sheet, it's $1.746 billion. It's always reconciled before. So maybe just to understand what's gone on here. And then as you're doing that, I'm also trying to reconcile how on December 11, when you put out the capital numbers, I get -- how that -- are the numbers you're giving us today for excess capital cushion based on where rates are today? Or are they based on where they were at year end? Because that's, I think, what some of us are having trouble understanding what you guys are saying, because some of your comments have been if rates just stay where they are, then it's $2 billion. Or was it $2 billion based on where rates were at the end of last year? And if it was that, then how is this cushion not sort of gone right now?
Robert Michael Falzon: Sure. So Colin, let me answer the second part first, then I'll come back to the borrowing numbers and hopefully reconcile them for you. So if you -- the statement we made is at -- rates as of year end gave rise to the earmarking of $2 billion of our capital capacity to bring that from the $4 billion to the $2 billion. The comment that we made with respect to what's happened since year end was that we do have -- we've -- as of today, we have identified additional capital commitments in the form of what we would have to do to mark the additional hit associated primarily with the underhedge through this -- as a result of where rates are further declined this year as well as the commitment we have should we be successful at closing on our Chilean acquisition. So when we think about those commitments that we have during the course of 2015, and there are others obviously, we line that up against the capacity we have to meet those commitments in 2015 as well, and we're comfortable that the combination of our free cash flow and other sources of capital, including, as we've mentioned, the $2.4 billion of yen equity hedge gains or fair value that will be monetized, portions of which will be monetized during the course of 2015, that those sources of capital can meet what might additionally be required as a result of the subsequent decline in interest rates and the other capital commitments that we have. Is that helpful?
Colin W. Devine - Jefferies LLC, Research Division: It is, and it's not. So let's say you just decided after this call and looking at where the stock's going today, let's monetize all the yen hedges, okay? That's fine, but then we should all be -- is it fair to say we should all be taking our estimates down because those Japanese earnings are going to come across then at current exchange rates, not the 91? Is that fair?
Robert Michael Falzon: No, it's not. So when we look -- when we're describing the equity hedge, that is separate and distinct from the income hedge, Colin. So the income hedges remain in place. This is in addition to those income hedges. Income hedges are in place, as we've described before, in a rolling 3-year basis.
Mark B. Grier: Yes, Colin, the translation hedge that's applied as we earn yen and then report in dollars in AOI is a different hedge. And as Rob said, that stays in place. The yen capital hedge that we're referring to is a structural short yen position on the balance sheet that includes a monetization mechanism that lets us realize cash at the holding company. So they're actually 2 discrete things, and there would not be a translation hedge impact related to things that we do and as the capital hedge matures, for example.
Colin W. Devine - Jefferies LLC, Research Division: Okay, that's very helpful. And then maybe to cut to the chase which is, I think, on a lot of people's minds. Given where rates sit today, right here, right now, is it still your expectation that PRU will do $1 billion in buybacks this year?
Robert Michael Falzon: So, Colin, I think as you well know, I can't answer the question with respect to what we would do on a prospective basis with regard to stock buybacks. If that's a question about our capacity and our ability to do that, I think we've addressed that capacity issue, and what we said is that we feel very comfortable with the quantification of our notional capital capacity being that $2 billion again net of what we would need to reduce our leverage ratio down to 25%. That capital capacity is available in the way that we've always articulated it. Our current authorization for buybacks runs through June. We've got about $0.5 billion left on that authorization through that period of time. And as I said, our philosophy really hasn't changed. We're managing to our leverage -- our targeted leverage ratios. We've articulated that. We've shown you a number for capital capacity that is net of that amount. We financed the growth including the extra organic growth particularly associated with PRT. We have some acquisition funding, and that's the Chilean business, and we've described that and our comfort with our ability to finance that. And importantly, we have shareholder distributions in the form of both dividends and stock buybacks. And our philosophy with regard to any and all of that has not changed.
Colin W. Devine - Jefferies LLC, Research Division: Okay, that's helpful. Now if we can go back to what happened in the stats up with the debt, and just put that to bed.
Robert Michael Falzon: Sure. So the -- I'm not sure I understand what your question is. I'm looking at the -- I presume you're talking about...
Colin W. Devine - Jefferies LLC, Research Division: I'm looking at Page 10. I'm looking at Page 10 QFS under short-term debt, and that does not reconcile to your balance sheet on Page 6, and it always has in the past. So -- and it does at the end of year end '13. So is there a typo there? Or...
Robert Michael Falzon: Well, I can't speak to whether there's a typo or not because I don't have the 10-K sitting in front of me. What I will tell you is...
Colin W. Devine - Jefferies LLC, Research Division: It's not the 10-K, Rob. It's in your stats out. And there's -- it's a question of there's, I don't know, $2 billion of debt which seems to have moved somewhere.
Robert Michael Falzon: The total debt at -- described as of December 31, 2014, is $23.7 billion.
Colin W. Devine - Jefferies LLC, Research Division: Where do I find that on Page 6, just to make it easy? Because I don't get that what's on Page 6.
Robert Michael Falzon: Well, Colin, maybe what I would suggest is if you have specific questions with respect to the QFS and you want to tick and tie this, that's probably a good use of time after the call as opposed to before the call.
Colin W. Devine - Jefferies LLC, Research Division: Okay. The balance sheet shows 21. That's the question, Rob.
Robert Michael Falzon: I'm sorry.
Colin W. Devine - Jefferies LLC, Research Division: Okay, I'll let you guys come back. But the balance sheet shows 21. That's the issue, and that became the question, is this $2 billion worth of capital that went from December 11 to now, has that just been reclassified somewhere? That's what I was getting at because the balance sheet does not show the $23 billion.
Robert Michael Falzon: Yes, if you take the totals of our long-term debt and our short-term debt, that should aggregate to the total of the $23 billion, if you include -- if you exclude from that the commercial paper, which is outside of that number.
Colin W. Devine - Jefferies LLC, Research Division: Okay. I'll let you go look at the balance sheet because that's not what it totals to.
Operator: And that will be from the line of John Nadel with Sterne Agee.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: I guess, if I could just put the final nail in this capital coffin, if you will. The question I have is when you articulated the $3.5 billion, which, I guess, would have assumed a 25% debt to cap, and maybe it didn't, but this incremental requirement for lower rates by year end, at least as of the date of your outlook call through year end, rates really barely moved. I'm assuming you did that math some time before your outlook was provided. I'm just trying to get a gauge as to how much rates actually did move to eat -- to take the $3.5 billion, which, I guess, would've risen actually and been $4 billion down to $2 billion?
Robert Michael Falzon: Sure, John. So -- excuse me, Nigel.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: No, it is John.
Robert Michael Falzon: Oh, it's John, I'm sorry. Got mixed up on my ordering. So John, the guidance was established on the basis of our forecast. Our forecast looks at an average of forward yield curves at the point at which we put it together. That forecast implied a year-end rate of around 2.6%, and that then drove the view of what capital may or may not be available as of -- or be required as of year end. At the point at which we did our earnings call, obviously, rates were around 2, 2-ish or somewhere in that order of magnitude. The volatility in interest rates is extreme, I think, as you well know. We have seen virtually every week movements in interest rates that have been up to 20 and 30 basis points. And so the delta between where we were forecasting to go year end and where we were as of the day we provided guidance was well within a range of kind of typical standard deviations over that period of time. And frankly, when we look at setting together our forecast, we don't alter it to reflect changes in the day-to-day movements of rates or equities. When we gave guidance, equities were above the number that we had anticipated coming into year end, and interest rates were below. We didn't adjust for either with the knowledge that neither of those numbers would be where they were on the day that we provided guidance, just as they were not on the day where we put together the forecast.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Understood. So -- but, I mean, at the end of the day here and I recognize, I fully recognize the commentary you made earlier about capital action -- I mean, sorry, management actions and other things that are at play here. It's not just a rate discussion. But essentially what you're saying is a roughly 40-basis-point drop in rates cost you $2 billion.
Robert Michael Falzon: Again, I wouldn't extrapolate that. There are a number of moving parts to that. Not to mention that when we gave guidance, we did anticipate that a certain amount of our capital would be used, as you said, to get our leverage down to 25% when we gave that guidance. And so the delta between the guidance and our number is the $3 billion to $3.5 billion down to $2 billion, not the $4 billion down to $2 billion.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Got it. Okay, that's helpful, too. And then just -- I mean, just a quick housekeeping item. Tax rate, just since I've got you guys, tax rate was, I guess, a little bit under 26% for the full year. I think your guide has been around 27%, give or take. Is there anything sort of that we should be just structurally looking at that tax rate being somewhat lower on an ongoing basis than the 27%?
Robert Michael Falzon: So the -- yes, the provision for taxes and guidance was actually a bit under 27%. I know we rounded it to 27% when we gave the guidance. And when you look at the impact to the tax rate this year, one of the large drivers to that was a reduction in our foreign taxes, largely driven by the fact that Japan lowered its tax rate down to 32%. So we will get some ongoing benefit from that going forward as well.
Operator: And ladies and gentlemen, today's conference call will be available for replay after 1:30 p.m. today until midnight, February 12. You may access the AT&T teleconference replay system by dialing (800) 475-6701 and entering the access code of 349034. International participants may dial (320) 365-3844. That does conclude your conference call for today. Thank you for your participation and for using AT&T executive teleconference service. You may now disconnect.